Executives: Michael Mason – Allen & Caron, Inc. Michael J. Smith – Chairman of the Board, President, Chief Executive Officer & Interim Chief Financial Officer
Analyst : Joe Pratt – Wells Fargo  
Operator:  Welcome to the MFC Industrial conference call. All participants will be in a listen only mode. (Operator Instructions) After today’s presentation there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Michael Mason. Please go ahead sir.
Michael Mason:  Good morning and welcome to the MFC Industrial Limited investor conference call to discuss the results for the third quarter of 2012. I’m Mike Mason of Allen & Caron investor relations. Before we start the call there are a couple of items I need to recover. Many of you received a copy of the press release. It was released this morning at 7:30 AM. If you did not receive a copy of the release it is posted on the MFC website and in the client section of our website at www.AllenCaron.com.  You may call our office in New York at 212-691-8087 and we will email it to you right away. It is also posted on Yahoo Finance and numerous other Internet sites. A replay of the call will be available through November 22nd and may be accessed from North America by calling 877-344-7529 and entering conference number 10020544. International callers should dial 412-317-0088. This call is also being broadcast live over the Internet and may be accessed on the company’s website at www.MFCIndustrial.com. A replay of the webcast will be available immediately following the call and will continue for seven days. Certain statements in this conference call will be forward-looking statements which reflects managements’ expectations regarding future growth, results of operation, performance and business prospects and opportunities. For detailed information about risks and uncertainties that could cause our actual results to differ materially from those expressed or implied, please refer to the disclaimer for forward-looking information contained in today’s press release on file with the Canadian Securities regulators and on Form 6K with the SEC. The company will make a brief presentation on the results announced this morning and then open the call to questions. I would now like to turn the call over to Mr. Michael Smith, Chairman and CEO of MFC Industrial.
Michael J. Smith : First of all this morning I would like to touch very much on the results for the nine months and the balance sheet I’ll review next. I think that’s very important, the balance sheet has changed substantially and plus we have some plans for the balance sheet to change even more so I think we should discuss that a little bit. I’d like to also touch on the businesses going forward, how we’ve seen the year-to-date, but also discuss some of the opportunities which we see with the change of business or the entering of ourselves into what we call the energy area of the commodity business. But first all on the results for the first nine months, the most major item really is the gain on the negative goodwill which arose as the fair value of the net assets we acquired exceeded the consideration we paid under the transaction for Compton and which we had booked under IFRS 3. Our cost of the Compton acquisition was $32 million and our gain was $230 million for the period. The operating results are irrelevant as we did not consolidate them into our accounts until the 7th of September. Of course, that $230 million had no tax effect so that went right to the bottom line as far as book value is concerned. Earnings for the nine months were just about the same this period as they were for the same period in 2011, $0.46 a share, revenues slightly less than $373 million. The increase in the revenues is really just a matter of the commodity prices and our change of not emphasizing so much in the area of plastics which is a commodity which hasn’t been very stable for us for all of this year and I think we’re still trying to rationalize how we handle that commodity going forward. For the three months it was basically about the same. Revenues were actually up in the three months but earnings were pretty much the same. But now, I think the difference here is that we are switching in this period of time out of plastics substantially, but we’re not completely out and we don’t aim to leave that area of the business at this particular point but it is not giving us any growth and the margins are not treating us very well.  Going on now to the balance sheet, you have the balance sheet as part of the press release so you have it there, I think the relevant things first is if we go to the asset section, look at the current assets. We had $400 million in cash at December 31st ’11, now we have approximately $280 million. The difference there really is the acquisition of Compton or the energy business and also that we have utilized our cash to restructure some of the debt, which I’ll get into in a moment, of this energy business Compton. Inventories are up a bit. That is seasonally adjusted and I don’t see that to be any major change there except it should be down substantially by December 31st. You are seeing one asset that is being added to the current assets which is an asset held for sale which is for $127 million. That $127 million is some of the assets which we’ll be disposing of with the acquisition of Compton, which assets we refer to as redundant. It might be relevant when you look at these assets held for sale to quickly look at the current liabilities. You’ll see there’s a liability relating to the asset held for sale of about [$15.5] million which has to be grossed out and shown as a current liability to comply with IFRS. Deposits are up, actually double for the period but a lot of that has to do with the acquisition now of Compton. The most interesting thing, I think, when you look at the balance sheet on the asset side is if you come down to this area exploration evaluation assets, this is a whole new area which you’re seeing developed on our balance sheet, you’ll see that the land which is really the exploration and evaluation is at $70 million and we had nothing before. This really is the land bank which we refer to and which is really a major part of our future as really it’s designed for info drilling and development drilling but also gives us a sense of long term appreciation of gas prices with no big carry costs which I think is really the key. The next one we should talk about is planned property and equipment. It’s gone from $3 million to $394 million, a huge jump. Let me give you the breakdown of that. Part of that is a change when we did the power plant in New Gandhi. So that now is in there during this period and also the refinery there. So let’s just say that’s $20 million of the $394. We then have plants in the Compton group which are processing plants which we aim to utilize very much in our future, of around $48 million and then there’s about $220 million worth of reserves, P1/P2 reserves which are discounted at 10%. So that’s the asset side of the balance sheet that has changed. On the liabilities side, and this is where I’ll explain to you where some of the work we have to do or are doing. You’ll see short-term borrowings now at $190 and they’ve increased from $114 in the same period. The increase is solely us restructuring the Compton balance sheet to make it more palatable with the acquisition. Accounts payable have gone up by $25 million and that is the same effect there. As we drop down, as I discussed before, the $15.3 million assets held for sale liability is really just an offset. Under long-term liabilities you’ll see an entry called MMP term financing. That’s non-recourse financing that we’ve inherited from Compton and we’ll leave that there for a while. Then you have a very large decommissioning obligation of $116 million. This is really eventual reclamation costs on wells and other items required and it’s subordinate and it’s long, long term. The short-term borrowing, if I take you back to there, is with a group of banks, also non-recourse, to MFC but it is of course recourse for Compton. It is our intention now to refinance $100 million of the Compton debt and to [inaudible] over time and maybe we’ll touch a little bit on the ratios to see how we see that affecting the company going forward. Our ratios are okay as they are now but we can make them better by properly financing this $100 million and we believe we can do that over term. That would change our working capital from $290 million to $390 million and change our current ratio from 1.92 to about 2.25. Our asset ratio will go from 1.05 to 1.40 and the debt equity will go from 0.04 to 0.016. That makes the balance sheet very healthy – I shouldn’t say healthy, it makes it the way it was before and puts us in good shape for other projects which we want to achieve. That to us is a major item for the balance sheet and that is under that program to term that credit is underway now and we think we have some people who will finance that at reasonable prices, if we can say financing today is reasonable, but we would say fair prices I guess.  We have credit lines of $400 million. Corporate tax paid for the period was $2.6 million in cash. Going forward maybe I can just touch a little bit. Iron ore is a major contributor to us and of course a concern or us. Our operations in Goa, we are unable to mine there at this point. Nobody is allowed to mine in Goa. To us, this is an emerging market problem. We do anticipate that we will be allowed to in the near future. It doesn’t cost us any money but we don’t make any money while we’re waiting. All I can say is we’re optimistic but we’re not operating today. In reference to Wabush, Wabush royalty was reduced in this period because of iron ore prices being down. But, production was really what we expected after we were told again, that they had more maintenance problems. It turns out the concentrator at Wabush Mine had lots of mechanical problems and they are spending a lot of money to fix it. We’re not happy with this. We’re monitoring the situation at Wabush very carefully. It’s very difficult to community with [Cliffs] as they take an attitude that usually they like through their [inaudible] only. We are in arbitration with them and that’s probably one of the reasons as we are asking them for additional payments for royalties and we are pressing ahead with that. We’ll keep you advised as we go forward.  Not happy, not unexpected and I think also iron ore prices are not bad. I mean, if you go from January to now they’re down 10% for the year. High was $190 a ton in 2011 and so I think the industry is not going out of business. The industry will be with us for a long, long time. Our general commodities business is affected by the economy but also as the economy goes down more people come to us for other opportunities and I think we are seeing quite an upbeat there in what I would call finance of commodities which is really merchant banking and that’s where I see us spending more and more time and I see some good growth there. The banks themselves, they’re interesting, they’re operating more on an inward looking basis now and they have to. They have to look after their own balance sheets and most of them are operating on a no new account basis. That allows us some good flexibility as people still need to do business and they can come to us and we have the strength in our balance sheet and know how to make that work.  I’ll touch on the energy prices and what we’re doing with the energy business. We saw Compton to be a very good opportunity and we had been working on trying to obtain a substantial stake in Compton for years and we managed to, after quite a lot of frustration by shareholders, to allow us to tender for it. To us, Compton the price of acquisition was right and we see this to be something which we can grow. Not just through sitting back and hoping the price of natural gas goes up but through redevelopment of especially the processing plant, of turning them into energy. I think this is where we’ll spend most of our time on now. At the same time, if we get lucky, natural gas will go up.  We acquired the stake in Compton – actually, when we started the acquisition of Compton till now I see the actual price of natural gas has gone up 32% which is great for us, great for our cash flow. But, we call that luck and so it’s nice to get lucky once in a while but we want to also get some regular business to cutting down the cost and creating energy at Compton and at the same time maybe we’ll be lucky.  Please remember in Compton we have several things. We have the land bank, the tax pools, facilities, and of course we will be creating a little bit of an energy fund with some of our Asian partners who have expressed a strong interest in that. We’ll be doing that in the first quarter of next year or after, closing out the Chinese New Year. I think I have no other statements I want to say and maybe we could open up for questions.
Joe Pratt – Wells Fargo: Related to Compton a couple of questions. Number one, I see